Operator: Hello and welcome to the Brookline Bancorp, Inc. Third Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Marissa Martin, Associate General Counsel. Please go ahead.
Marissa Martin: Thank you, Brandon, and good afternoon, everyone. Yesterday, we issued our earnings release and presentation, which is available on the Investor Relations page of our website, brooklinebancorp.com, and has been filed with the SEC. This afternoon's call will be hosted by Brookline Bancorp's executive team, Paul A. Perrault and Carl M. Carlson. Before we begin, please note this presentation is being done from several different locations. So if there's a delay or technical problem, we appreciate your patience and understanding. This call may also contain forward-looking statements with respect to the financial condition, results of operations and business of Brookline Bancorp. Please refer to Page two of our earnings presentation for our forward-looking statement disclaimer. Also, please refer to our other filings with the Securities and Exchange Commission, which contain Risk Factors that could cause actual results to differ materially from these forward-looking statements. Any references made during this presentation to non-GAAP measures are only made to assist you in understanding Brookline Bancorp's results and performance trends and should not be relied on as financial measures of actual results or future predictions. For a comparison and reconciliation to GAAP earnings, please see our earnings release. If you can join us on Page three of the earnings presentation, I'm pleased to introduce Brookline Bancorp's President and CEO, Paul Perrault.
Paul Perrault: Thanks, Marissa, and good afternoon all. I remain cautiously optimistic as we continue to see positive trends in Massachusetts, Rhode Island and New York as the reopening process and everyday economic activity seems to be slowly recovering. Activity within the cities of Boston and Providence remain mixed as work-from-home continues to be the predominant theme, while some schools are open, sidewalk cafes and restaurants are quite busy. We are cautious as the weather cools and rates of infection possibly increasing. The health and safety of our employees and their families continues to be our priority. While not mandatory, we are encouraging non-branch employees to come into the office one or two times a week, while maintaining social distancing and safety guidelines in all of our locations. We will continue to work with a small segment of our customers who are still facing financial challenges related to the shutdowns and may require additional deferrals. Since March 1, we granted 5,422 short-term deferrals on loan balances of $1.2 billion. I'm pleased to say that as of the end of the third quarter, most of these customers have returned to normal repayment status, and there were 910 credits totaling $280 million with loan modifications. We had a solid quarter of earnings at $18.7 million or $0.24 per share as our net interest margin stabilized and we maintained our substantial loan loss reserve position. I'm also pleased to report the Board approved another $0.115 dividend to stockholders, which will be paid in November, and also approved the resumption of our stock buyback program, which had been suspended in March. I will now turn you over to Carl, who will review the company's third quarter results. Carl?
Carl Carlson: Thank you, Paul. On Slide 4, we have provided summary comparative income statements. Net income was $18.7 million compared to $19.6 million in Q2 driven by stable revenues, higher expenses and a slightly lower provision for credit losses. Revenues were relatively flat for the quarter as net interest income increased and fee income declined. Fees related to customer back-to-back interest rate swaps are significantly lower as commercial real estate originations are lower. Operating costs were higher due to compensation costs and higher FDIC assessments. While the economic forecasts we used for modeling credit losses have marginally improved, there remains significant uncertainty and volatility related to the COVID-19 pandemic. We maintained our reserve coverage for loan losses with a provision for credit losses of $4.5 million. As illustrated on Page 5, net interest income increased $1.6 million driven by average earning asset growth of $142 million as our net interest margin stabilized at 308 basis points. The yield on our loan portfolio declined 13 basis points as the cost of funding declined 23 basis points. If you could follow me to Slide 6, you can reference our comparative summary balance sheets. In the third quarter, the company had $9 billion in assets, down $70 million from Q2. Loans declined $12 million, and deposits grew $353 million. The allowance for loan losses remained stable at $120 million and represents 176 basis points of loans, excluding PPP loans. Slide 7 reflects the growth and composition of our significant loan and deposit categories. The loan portfolio was relatively flat for the quarter with slight declines evenly distributed across the portfolio. Deposit growth was largely driven by brokered deposits as we took advantage of favorable rates for non-maturity brokered deposits to replace Federal Home Loan Bank advances. While demand deposits and CDs declined in the quarter, increases in NOW savings and money markets offset this decline. On Slide 8, we are providing the status of our loan payment deferment activity. As Paul mentioned, as of quarter-end, 910 credits totaling $280 million continued to have loan modifications under the CARES Act, representing 3.8% of total loans outstanding. On Slide 9, loan modification information is provided by sector. All loans remain accruing with a handful of downgrades if there were signs of deterioration. We continue to closely monitor exercise, laundry and retail sectors as government shutdowns or limitations could have a meaningful impact as we go into the fall and winter months. As shown on Slide 10, the company continues to be well capitalized, exceeding all regulatory requirements. At September 30, we had capital buffer of 2.8% or $198 million of regulatory well-capitalized standards. The Board of Directors yesterday approved resuming the stock buyback program we paused in March. We have a remaining $9.6 million in funding, which will be used to opportunistically repurchase shares before year-end. Slide 11 provides a history of our regular common dividend payout, which continued this quarter. The Board approved a quarterly dividend of $0.115 per share, which will be paid on November 27 to stockholders of record on November 13. In total, we are paying out $0.46 in dividends per share during 2020, representing a 4.5% increase over 2019, and our payout currently approximates a 5.9% yield. This concludes my formal comments, and I'll turn it back to Paul.
Paul Perrault: Thanks, Carl. Joining us now for the question-and-answer session is Robert Rose, our Chief Credit Officer. We will now open it up for questions. Brandon?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Mark Fitzgibbon with Piper Sandler.
Mark Fitzgibbon: Carl, I wondered if you could kind of breakdown for us what the CD maturities look like over the next couple of quarters, what sort of rates those are at.
Carl Carlson: Sure. So next quarter, we've got about $300 million in CDs maturing, and this excludes brokered CDs. Exactly what rate is is around 2%, a little higher than 2%. We'll say about 2.2%.
Paul Perrault: That'll be quite helpful.
Mark Fitzgibbon: That becomes due in the fourth quarter, Carl?
Carl Carlson: That's just in the fourth quarter.
Mark Fitzgibbon: Okay. And then how about 1Q, you have that handy?
Carl Carlson: Okay. Because I can't add this up in my head, I'll give you a rundown. $138 million in January, $120 million in February, and $105 million in March, and that's all around $180 million to $185 million.
Mark Fitzgibbon: Okay. Great. And then you mentioned the brokered deposits. I guess I was just curious, I think you booked about $350 million of brokered deposits this quarter. What kind of rates and terms are those at?
Carl Carlson: So, yes, these are not brokered CDs, these are basically brokered DDA and brokered NOW accounts with an average cost of around Ameribor plus 10. So right around 20 basis points on average.
Mark Fitzgibbon: Okay. Great. And then in general, I assume that we'd probably see a little bit more degradation in the margin in coming quarters despite some of the downward liability repricing. Is that fair?
Carl Carlson: Actually, we expect margin to increase going forward. And I know I guided that we thought we were going to see a little bit of higher margin this quarter. We just had a little bit more liquidity on hand that put pressure on that. But we still had the same level of net interest income that we were anticipating. Just the margin showed a smaller number. But we do expect the margin to increase about five to 10 basis points next quarter.
Mark Fitzgibbon: Okay. And then lastly, I was just curious if you could comment at all. There was a large demutualization in your market recently, a company with a pile of capital now that is a competitor of yours. I'm just wondering, are they affecting pricing on the loan side in the market or --
Carl Carlson: Really? In our market, Mark?
Paul Perrault: I don't think so. There's certainly nothing evident that's been going on. Everybody's sort of keeping to their knitting and taking care of business.
Operator: Our next question comes from Christopher Keith with D.A. Davidson.
Christopher Keith: So I'd like to just get a little more detail on the asset pricing side if that's all right. Could you give us a sense for where commercial real estate loans are coming on and then -- and maybe just a sense of what's repricing over the next few quarters?
Carl Carlson: Yes. So I'll give you a sense of the entire loan book in the third quarter. New originations were at 394 weighted average, 394 basis points; commercial real estate loans themselves were 344 basis points; now C&I, 475; and the consumer loans, around 345, just to give you a breakdown of those. As far as repricing, we felt -- a lot of our commercial book is repricing. So we got about $1.9 billion of loans that reprice, but we don't expect those to be coming down at all. But I think that a lot of that repricing has already happened earlier in the year since a lot of that is floating rate. Floating or three months are in is the definition of that $1.9 billion.
Christopher Keith: Got it. That's very helpful. And then I guess just looking at loan growth, if you could give me a sense for out of the bucket that you disclose, the commercial real estate, commercial loans and leases and then consumer loans, where are you seeing strength in the pipeline? And do you have a sense for the general direction that we're going to be in for 2021 as far as overall loan growth?
Paul Perrault: Well, first, Christopher, let's take the PPP thing off the table because that just makes it murky to figure out. We don't know when the forgiveness is going to happen, but we expect it'll be some time next year, first half, presumably. But if you put that aside, we're seeing what I'd say is modest activity in real estate and in C&I and stronger activity in residential, which is not a huge business for us, but it's more than it has been historically. I expect that, that will continue through next year. So I don't think we will have sort of the pattern of high-single-digit growth overall that we've seen in recent years. I suspect it may be half of that. But we're all looking at a rather clouded situation right now, so I'm assuming that things continue to operate reasonably well. In that environment, I think we could do 4%, 5%.
Christopher Keith: Okay. That's fair. That's great. And then just one more, if I can. You mentioned excess liquidity. I'm curious what -- especially given your comments on loan growth, your intent is to work -- or how to put that excess liquidity to work. Are you looking at the securities market? Do you see anything that fits within your strategy? I know rates are less attractive, but we're seeing a little less in the long end of the curve. So just any color on your thoughts there would be great.
Carl Carlson: No. I think we have built up some liquidity when this crisis first started and basically still have that liquidity on our balance sheet. We also put securities on basically before rates came down dramatically. We do not expect the securities portfolio to grow from here. If anything, it's going to continue to shrink. And so really, the cash balances that we have on the balance sheet, we weren't sure if we're going to start getting back funds from the SBA on the forgiveness side. So we'll be monitoring that liquidity and paying off -- basically paying off brokered deposits as well as Federal Home Loan Bank advances with that liquidity and any added liquidity around that. Deposits are holding in very, very solid and continue to grow throughout this. So -- and that's where I think some of us may have been surprised by that level of growth in deposits.
Christopher Keith: Great. And I'm sorry, I know I said last one, but you -- when you brought up deposits, I mean, do you see that waning in the next few quarters? Or, I mean, are we going to continue to see this level of growth?
Paul Perrault: Well, I don't think you'll see this level unless there is another PPP 2.0 kind of thing. Again, I -- we have to put that aside a little bit. I will speculate that -- I don't know if it's half, but something of that magnitude of order came out of the PPP program for the deposit growth. The rest was attracting some pretty good customers who have a lot of cash balances who were not being treated by their money center bank very well. So some portion of it is solid regular growth. The other is the PPP inflation. And I just described if there is another one of those, we might have the same deposit growth. Otherwise, we'll continue to see an upward trend in deposit gathering.
Operator: Our next question comes from Laurie Hunsicker with Compass Point.
Laurie Hunsicker: Love the detail on the deck. I wondered -- and maybe, Bob, this is a question for you. If you could help us think about -- looks like one-third of your deferrals now are laundry. If you've got any additional comments around laundry. And maybe also, how much of that is planned to resume payments in coming weeks? Just any added color on that $94 million. That's the first one.
Robert Rose: Sure. Yes, sure. Hi, Laurie. We expect the majority of that to come back over the next one to three months. I think that we were -- we erred on the side of caution here, and we're generous with people in that area. But when our people talk with their customers, they don't talk about COVID at all. They talk about acquiring other laundromats in a unique moment in time. So restrictions do affect them. They affect the number of people they can put through laundromats. But it's an essential business, the sites are chosen well, and we expect that to moderate quite a bit into the future, i.e., those resume payment.
Laurie Hunsicker: And do you have a geographic breakdown? Or maybe, can you just remind us how much of that is sitting in New York City and if you're seeing any sort of outsized deferrals in the New York market? Or just any other color around that.
Robert Rose: Well, the portfolio is in all 50 states. It is concentrated more in the five boroughs of New York and in the large cities throughout the country. And it's surprising where you see deferrals. They're not all in New York. They're not all in the boroughs. California has been a difficult place to do business because when they go from closure, they then have forest fires and people are just not out and about. So they're pretty well spread around, Laurie.
Laurie Hunsicker: Okay. Okay. And then just one more question here on deferrals. So the $280 million that you had as of September 30, do you have a refreshed number as to what that is currently, an October number or maybe even what that looks like beginning of November?
Robert Rose: I do not because it takes a few days after the month ends to recalculate this. I can tell you a bit of good news that presently, Macrolease, which has $32 million of deferrals shown here on the 30th of September that has fallen to $22 million as of the other day.
Laurie Hunsicker: Okay.
Robert Rose: So --
Laurie Hunsicker: That's great.
Robert Rose: Yes.
Paul Perrault: All right, we will refresh that for the Q when we file the Q.
Laurie Hunsicker: Okay. Great. This is a fabulous slide. Okay. Great. Carl, a quick question for you on the PPP fees. Can you just update us where those are as of September 30? I'm thinking of $17 million, $18 million. Just didn't know if you had a more exact number.
Carl Carlson: I don't have an exact number at my fingertips.
Laurie Hunsicker: Okay. Okay. And then, Paul --
Paul Perrault: The amount of notes?
Carl Carlson: It's -- Paul, it's whatever that number --
Paul Perrault: It's about $560 million.
Carl Carlson: So it's -- well, we did $582 million, I believe, in loans, and it's on the balance sheet right now at $568 million. So the difference between those two numbers as of September 30 is the net deferred fees and costs.
Laurie Hunsicker: Got it. That's perfect. That's helpful. Okay. Thanks. And then, Paul, last question for you, just kind of dovetailing with Mark's question. Can you talk a little bit about maybe how you see potential for M&A in the Boston marketplace? Certainly, the banks that Mark mentioned, they've said they're going to be very acquisitive. That's the path that you've taken. Just how you're thinking about M&A here? Does this put a little bit more pressure on you, just sort of rethink things? Or just any color or comments you could give would be helpful, especially as you're sitting right here on a mound of difference.
Paul Perrault: Well, I'd say not much. I mean I don't -- I'm not bothered or worried that Eastern went public and has a war chest and can do something with it. We have a history and plan to continue to play our own game. We're getting it done. We're doing just fine. There are some candidates in the region which somebody like Eastern could go after. But I think it's a very difficult environment to pull off M&A given the pandemic as well as the stock prices right now. So I -- unless there's an unusual circumstance, I don't think you're going to have normal M&A for a while.
Operator: [Operator Instructions]. Our next question comes from Collyn Gilbert with KBW.
Collyn Gilbert: Maybe, Carl, just to start with the NIM. So I appreciate the color that you gave going into the fourth quarter. But I just -- but kind of thinking more broadly as we get through -- as, Paul, you mentioned like the PPP mess or whatever, get through 2021. I mean you just seemed like you're -- the setup for this -- for the NIM expansion is pretty robust. As you had mentioned, right, the loan book seems to have repriced to a floor. You still have meaningfully high funding costs on the brokered side, traditional CD side, whatever the case might be. So just curious how you're seeing that NIM trajectory as we look out to 2021 and 2022 and maybe where you think kind of a normalized -- or where funding costs could settle out to.
Carl Carlson: Well, excellent questions there, and I'll try not to answer any of them. But, well, so basically, yes, just -- so as soon as you give guidance, things get thrown at you and you always get curveballs. So everything is always very dynamic. But with that -- that being said, we do continue to see benefits on the funding side going forward into 2021. But modest -- modest reductions as basically CDs and Federal Home Loan Bank advances continue to come down and we reprice those and pay some of those things off. So to give you an actual NIM on that, I'd given guidance that we expect the NIM to go five up to 10 basis points next quarter alone. And we do expect the NIM to go a little modestly higher after that into 2021, excluding any impact from PPP. So any -- any acceleration of forgiveness that will just be additional revenue hitting that line or recognizing that rather -- sooner rather than later. That's basically -- I don't have a funding cost number that I'm willing to provide.
Collyn Gilbert: Okay. Okay. All right. I just -- no, okay. All right. I'll leave it there then.
Carl Carlson: Well, it's just very, very dynamic.
Collyn Gilbert: No. I understand.
Carl Carlson: It's very --
Collyn Gilbert: No, no, no, totally. And I guess -- no, I get you. But just kind of thinking, as for -- as we go through the cycle, like would there be anything -- I just -- I wouldn't think anything structurally that maybe we're missing or missing that would impede you guys from getting to, say, like a 50 basis point cost of funds as you look out. And I guess I'm asking, well, is there -- are there longer-duration structures in there? Is there a competitive position that you think you're going to need to sustain in the market that's going to cause you to keep your funding costs perhaps higher than peers? I mean anything -- I guess I'm asking you, right, like strategic initiatives that would come into play?
Carl Carlson: I think you're right on there. I think the CDs that did actually roll, a lot of that money is going into other products. But the CDs that do roll are coming in at around 54 basis points last quarter. So I don't -- so that 50 basis point number is a very, very reasonable number at some point in the future, if not --
Collyn Gilbert: Yes, okay. Okay.
Carl Carlson: If that will -- and we don't have any -- we do not have any unusually -- we have no long structures, quite frankly, in our book. I think we probably provide a lot of that detail in the Qs. It's actually gotten quite short at this time.
Collyn Gilbert: Okay. Okay. Because I know historically, you guys have utilized the wholesale funding structure to sort of fund the equipment finance book.
Paul Perrault: That's right. We would use that and ladder that out so that we would closely match that. But over the last several quarters, we've been really bringing down that duration.
Collyn Gilbert: Yes. Yes. Makes sense. Okay. All right. Okay. And then just shifting to the reserves. Could you give us a little bit of insight as to how you're thinking about that trajectory, if you're foreseeing any more or additional qualitative inputs coming into the fourth quarter, and then how you're thinking about loss risk? And I guess that would be my question maybe for Bob, too, as we look at that deferral slide, what the collateral looks like on some of those buckets. So it's a multipart question that's centering around reserve trajectory.
Robert Rose: Well, the reserve trajectory, Collyn, is -- we look at it in a very short-term way. I hate to say that. But given the way things change, and they change rather quickly, we just have to evaluate the facts we have at the time. And for the moment, we're very happy with the level of the reserve today. And we've had the opportunity to shift a few dollars around within it. For example, we've increased the reserve levels on the exercise portfolio. No, it's not a big portfolio, but when you have a business that gets ordered closed by the state or the city, you can't make your payments the same way you could before. So I'm just not going to go out on a limb and say it's going to go up or it's going to go down. I'm going to say that we're going to keep looking at it and making it appropriate each quarter because of the way things change. The losses that are embedded in these modifications are examined by us all the time and we are not seeing areas that are screaming out in the loss area. If you looked at the first one, for example, it's food and lodging. By that, we really mean it's not Dunkin' Donuts; it's a handful of family restaurants. And now that $10 million, each of those has loan-to-values that are -- a couple of them are in the 50% range and another one in the 75%, 80% range where we could liquidate out of them if we had to. But the one that would bother me out of this the most is what I said; the Macrolease fitness equipment portfolio because liquidating used exercise equipment would have rather high loss rates. Despite the fact that we have cross guarantees and we have personal guarantees, it could produce some losses, and we have reserved appropriately, as I stated earlier, so nothing screaming out at us at the moment other than that particular portfolio.
Paul Perrault: Can I hit on that, Collyn?
Collyn Gilbert: Yes. Go ahead, Paul.
Paul Perrault: I would just add to that, that we are very comfortable with the level of our reserves. We think it's appropriate. We think the future is murky. And even though the CECL modeling for the third quarter showed favorable characteristics to previous modeling, we thought that the better part of valor was to stay the course.
Collyn Gilbert: Okay. Okay. That's helpful. And then just lastly on the buyback. What would -- what are some of the criteria that you're most closely paying attention to that would determine how aggressive you would or would not be on the buyback?
Carl Carlson: The price. That's about it. Sure fire. So that's about it. We want where this would --
Collyn Gilbert: I mean which would indicate then you would be buying it back like mad right now then, I would assume, if it's share price driven?
Carl Carlson: That's correct.
Collyn Gilbert: Okay. Okay. And I'd have to go back and look. I mean I just don't -- sorry, I should have it -- I should know this. But just your appetite, I mean, do you foresee -- you've got, obviously, plenty of capital. If share price is the trigger, could you be as aggressive in doing multiple like 5% repurchase programs back to back? Or just curious as to what -- how aggressive your appetite would be, which, again, I guess, then takes you to the question of where you want to take your capital.
Carl Carlson: We would revisit that likely in December or January.
Collyn Gilbert: After you finish this current authorization?
Carl Carlson: Correct.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Paul Perrault for any closing remarks.
Paul Perrault: Thanks, Brandon, and thank you all for joining us this afternoon, and we will look forward to talking to you again next quarter. Bye now.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.